Operator: Hello and welcome to Gevo's First Quarter 2021 Earnings Conference Call. My name is Towanda, and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will be conducting a question-and-answer session. Please note that this conference is being recorded. I would now turn the call over to Geoff Williams, Gevo’s Vice President, General Counsel and Secretary. Please go ahead, Mr. Williams.
Geoff Williams: Good afternoon everyone and thank you for joining Gevo’s first quarter 2021 earnings conference call. I would like to start by introducing today’s participants from the company. With us today is Patrick Gruber, Gevo’s Chief Executive Officer; and Carolyn Romero, Chief Accounting Officer. Earlier today, we issued a press release that outlines the topics we plan to discuss today. A copy of this press release is available on our website at www.gevo.com. I would like to remind our listeners that this conference call is open to the media and that we are providing a simultaneous webcast of this call to the public. A replay of today’s call will be available on Gevo’s website. On the call today and on this webcast, you will hear discussions of certain non-GAAP financial measures. Non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in accordance with GAAP. Reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures is contained in the press release distributed today, which is posted on our website. We will also make certain forward-looking statements about events and circumstances that have not yet occurred, including, but not limited to, projections about Gevo’s operating activities for the remainder of 2021 and beyond. These forward-looking statements are based on management’s current beliefs, expectations, and assumptions, and are subject to significant risks and uncertainties, including those disclosed in Gevo’s Form 10-K for the year ended December 31, 2020, which was filed with the US Securities and Exchange Commission, and in subsequent reports and other filings made with the SEC by Gevo, including Gevo’s quarterly reports on Form 10-Q. Investors are cautioned not to place undue reliance on any such forward-looking statements. Such forward-looking statements speak only as of today’s date and Gevo disclaims any obligation to update information contained in these forward-looking statements, whether as a result of new information, future events, or otherwise. On today’s call, Pat will begin with a discussion of Gevo’s business developments, Carolyn will then review Gevo’s financial results for the first quarter of 2021. And following the presentation, we'll open up the call for questions. I’ll now turn the call over to Pat.
Patrick Gruber: Thanks Geoff. Well, we're on track to accomplish our goals for this year. The engineering of Net-Zero 1 is on track. The debt solution with Citi to finance Net-Zero 1 is actually ahead of schedule. We still have a lot of work to do, but so far the Net-Zero 1 project is looking very good. We broke ground on RNG project; it should come online next year. This project is targeting production of 355,000 million BTUs per year and should generate free cash flow for Gevo of approximately $9 million to $16 million on an annualized basis, beginning in late 2022. Tim Cesarek, our Chief Commercial Officer has managed to increase our customer contract pipeline by several fold. We now are discussing and negotiating upwards of $10 billion of take-or-pay offtake agreements on a revenue basis.  Recall that for each 45 million gallons of contracted product sales, which is the current approximate design capacity of our net zero plans. The sum of the anticipated product sales revenue during the expected take-or-pay contract terms of six to seven years should be about $1.5 billion. It's real money, real business. So if we were able to inc several other contracts in our pipeline, it would mean several more additional plants will be needed to be built. These take-or-pay contracts are sure we’ve to obtain because they require the customer to back it with their balance sheet or some other credit support method.  We expect to announce the customers and volumes when we can after the contracts are signed. I think it's likely that we could have more than one net-zero plant being built at the same time in the coming years.  Based on our current modeling assumptions, we believe that the EBITDA for a net-zero plant should be more than $100 million per year once operating. We believe that subsequent net-zero plants would likewise model out to be in that same range, as we get more plants booked with take-or-pay contracts will be interesting to see how strategic investors in Wall Street view this. We would hope that the increased visibility into more potential cash flow streams will result in better recognition of value for Gevo and his shareholders. Now with strategic investors, it's a slightly different perspective. As the tangible demand in the form of take-or-pay becomes bigger, then it becomes even more undeniable adds to the potential for our business. The more take-or-pay contracts make the more net-zero plants we will need and the more attractive we should become to strategic investors.  Next, I want to address questions from several investors about what our proposals in our definitive proxy statement for our annual meeting of shareholders to be held on June 9th, 2021. The questions are specifically on proposal number four, which is an amendment to our amended and restated Certificate of Incorporation to increase the total number of authorized shares of common stock. This proposal seems to have created confusion for some stockholders, namely a reaction that this proposal means that there would be immediate dilution to current stockholders.  Proposal number four is asking stockholders to approve an amendment to the company's Certificate of Incorporation to increase the number of authorized shares of common stock from 250 million to 500 million. This increase doesn't mean we are issuing these new shares immediately. I want to be clear that we're not asking shareholders to approve an offering of common stock at this time. That's not what we're doing here.  It's important to remember that Gevo has used most of its existing authorized shares of common stock over the years. The Board of Directors believes it is in the best interest of the company to increase the number of authorized shares of common stock in order to give us greater flexibility considering a planning for future potential business needs, including but not limited to potential strategic transactions, strategic partnerships, business combinations, of course, financing, the construction up to three production facilities as well as other general corporate transactions.  Now, I will turn the call over to Carolyn, who will take us through the financials. Carolyn?
Carolyn Romero: Thank you, Pat. Gevo reported revenue in the first quarter of 2021 of $0.1 million as compared to $3.8 million in the same period in 2020. During the first quarter of 2021, there were no hydrocarbon revenue compared with $0.1 million in the same period in 2020. Hydrocarbon sales decreased because of lower production volumes at the South Hampton Resources Inc. facility in Silsbee, Texas. During the first quarter of 2021, no revenue was derived at the Luverne Facility from ethanol sales and related products, compared with $3.7 million during the same period in 2020. As a result of unfavourable commodity environment during the three months ended March 31, 2020, we terminated our production of ethanol and distillers grains, which resulted in no sales over the current period. Cost of goods sold was $2.0 million in the first quarter of 2021 versus $8.1 million in the same period in 2020. Cost of goods sold included approximately $0.9 million associated with the maintenance of the Luverne Facility and approximately $1.1 million in depreciation expense. Growth loss was $1.9 million for the first quarter of 2021 versus $4.3 million for the first quarter of 2020. Research and development expense increased by $0.8 million, during the first quarter of 2021, compared with the same period in 2020, due primarily to an increase in personnel and consulting expenses. Selling, general and administrative expense increased by $1.2 million during the first quarter of 2021, compared with the same period in 2020, due primarily to an increase in personnel and consulting expenses. Preliminary state project costs increased by $2.6 million, during the three months ended March 31, 2021, compared with the same period in 2020, due primarily to increase consulting and research and development expenses related to our R&D and net zero projects. Within total operating expenses for the first quarter of 2021, we reported approximately $0.8 million of non-cash stock-based compensation. For the first quarter of 2021 we reported a loss from operations of $9.9 million, compared to $8.0 million for the same period in 2020. In the first quarter of 2021, cash EBITDA loss, a non-GAAP measure that is calculated by adding back depreciation and non-cash stock-based compensation to GAAP loss from operations was $7.8 million, compared with $6.2 million in the same quarter of 2020. There's no interest expense for the three months ended March 31, 2021, a decrease of $0.5 million, as compared to the same period in 2020, due to the conversion of all of our 12% convertible senior notes, due 2020, 2021 to common stock during 2020. For the first quarter of 2021, we reported a net loss of $10.1 million, or a loss of $0.05 per share on a weighted average shares outstanding of 183,566,524. This compares to a loss of $9.3 million in the first quarter 2020 were a loss of $0.64 per share, based on a weighted average shares outstanding of 14,472,798. In the first quarter of 2021, Gevo recognized net non-cash loss, totaling 0.1 million, due to changes in the fair value of certain of our financial instruments, such as warrants and embedded derivatives. Adding back these non-cash losses, resulted in a non-GAAP adjusted net loss of $10.0 million in the first quarter of 2021, while non-GAAP adjusted net loss per share of $0.05. This compares to a non-GAAP adjusted net loss of $8.5 million in the first quarter of 2020, or a non-GAAP adjusted net loss per share of 5-9 -- $0.59. Now, I will turn the call back over to Pat to wrap things up.
Patrick Gruber: Thanks, Carolyn. So that overall things are on track and looking good. We have the catalysts that are coming up between the off-take agreements and such. I'm pretty pleased with where we are. Let's open up this call for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Amit Dayal with H.C. Wainwright. Your line is open.
Amit Dayal: Thank you. Good afternoon, everyone. I appreciate taking my questions. Pat, did you say that you are pursuing $10 billion worth of off-take agreements?
Patrick Gruber: We're more than pursuing them. That's what's being worked on and actively negotiated in various forums. That's a three-fold increase. This is a game changing kind of a thing for us considering where we had been and what we're doing. People are figuring out that we have a solution here. So, it's going to be exciting. And we're going to be in the position of having to supply product for multiple plants that wants to dang good thing. We did a greenfield cookie cutter plant in our designing the way we're doing it, we got. Okay, it was foresight, lucky, where we did good. And my people did a really good job. So, it's kind of exciting space we're in, and I just -- as always, I never know when we're going to get the darn agreements done. Some of these are really big deals in with not that many customers. And so, they'll take time, and -- but we're stacking them up in multiple net-zero plants. It's pretty exciting.
Amit Dayal: Are these agreements with -- are these potential agreements with the airlines or with players in sort of the middle of the value chain? Like, who are these agreements being negotiated with?
Patrick Gruber: I think it would be fair to say, I can't comment on this stuff like that. We are sworn to secrecy about these things. I know we get this question. Everyone wants to tell us who is it, really? We can't do that. Now, there -- but I will say this, it's a mix of those.
Amit Dayal: Okay.
Patrick Gruber: So, if you could just ask me about it's a mix.
Amit Dayal: Okay. And then, I guess, I’ll ask the obligatory feedstock-related question. As you are getting visibility into the size of these opportunities, how are you thinking about managing feedstock requirements, et cetera?
Patrick Gruber: Well, it’s interesting, because these are carbohydrates the feedstock. These are incredibly abundant. So for example, the corn supply here in the US is -- what, 14.2 billion bushels a year ago. And it's increasing, and we use the carbohydrate portion, we separate out the protein. A billion gallons of require several percent of corn supply. And, of course, that's really not an accurate count. Because we're separating, it's close for an accurate count, but we're separating out all the protein that goes with it. So it's a -- there's more than a feedstock availability, especially when ethanol was being a little bit of a combat, but the ethanol supply has gone down a bit. So, we're in pretty good shape in terms of feedstock. And that puts us at a comparative advantage compared to some of the other feedstocks that are out there for renewables. Of course, around the world, it's not corn. In Germany, we would work with something else. And India is definitely molasses and things like that. So, and I think in South America, as we get going, you'll see us work with molasses and other products. So carbohydrates are a great feedstock, because they're so ubiquitous in such large amounts, especially compared when one's looking at oil fields, or one of those other things.
Amit Dayal: So just to you know, so these net-zero plants don't essentially have to be in the US, they could be in other geographies.
Patrick Gruber: Sure, they can. It's a concept. So what we're doing is building plants and building in the renewable energy infrastructure that goes with them. Because of the way we process things, we have the ability to take input like a water treatment plant and put that water treatment plant and it makes bio gas fields that do the thermal demand for the plant displacing the fossil based natural gas. Of course, we want renewable electricity. Electricity is the thing that causes -- in between existing natural gas. That is the thing that causes the bulk of our footprint, this is true of all energy. When we're trying to drive the footprint down on greenhouse gases, it is about electricity that seems to be lost on the world at large. And the same thing is true with the natural gas, its fossil based, both of them. Look electricity is 60% fossil based in this country and around the world, it's about the same. So there's an enormous amount of work to do. So we think of it as, every time we do a net-zero plant will have done something about renewable energy. And in fact, our company is in fact a developer of renewable natural gas. That's a fact. You're a co-developer of when we did a project last year, we're going do another round or net-zero plant. And you know what, we're going to continue to be active in the renewable energy. And it was a different mentality about what needs to be done to solve these greenhouse gas problems and make money while we do it.
Amit Dayal: The green bonds for the RNG that you issued, is that allowing you to pay a lower interest rate versus in regular bond, I guess?
Patrick Gruber: Hey, Lynn. Are you on the line Lynn?
Lynn Smull: There's an interest rate. And I thought we published it. It's been it's public stuff. So it's there.
Amit Dayal: Okay, I'll check that. I’ll look at that.
Lynn Smull: Yeah.
Amit Dayal: No problem. I guess my other question was around, you know, how much we need to factor in -- with respect to the interest burden related to this. But I can look that up also? But you said the payments on this will begin in 2Q ’21? Right?
Patrick Gruber: Yeah, so what will happen is, yeah, so -- yeah. And what we'll do is, you'd have to, you know, what you should do is call Lynn and talk to him and find out more color on it. And the thing that I'm paying attention to is, I want this plant built and again get it complete by the end of the year, I want to operational in the first quarter of next year, so that we can get all of our qualifications done to get stuff certified. So to start generating cash, get that done. I want the money in the door by the end of -- in the third, fourth quarter next year, whenever that timing works out. And I want the cash coming in the door. And when we're talking about $9 to $16 million of cash that might sound small to people, but Dang, that's like real money. We want it and that's after, the debt service and all the rest. So, that's -- I want it.
Amit Dayal: What's the Delta? What accounts for the delta between the $9 million to $16 million in the range, like what could be the difference between you're coming in at $9 million or $16 million?
Patrick Gruber: The way you have to go through California and get certified as to what exactly the pathway is and they look at your dairies and they'll judge them in some way and we're trying to give a be conservative, so in the worst case scenario, we say it's $9 million, we think it's more like $16 million. And so, we're just giving ourselves a range. So we can hit something that’s reasonable. But you got to go through this. Whenever you got to go through the certification process, which is normal. You got to get their blessings to say, yep, that's legit. It depends on how they're looking at things at that time. You know -- and because it's in future world, we just say, okay, we plan on nine, hoping get 16. You have the cash out. On the revenue side, what that means on the revenue side is -- is like $23 million and $28 million revenue.
Amit Dayal: Okay. So this will get narrowed down once you get the certification basically.
Patrick Gruber: That's it? Well, we would know. We would know that -- we will know. If they do what they have done in the past, it's the high side.
Amit Dayal: Okay. Understood. And, I guess, my last question was around, what the expected cash levels would be as you exit 2021? I don't know if Lynn is online, but I can follow-up with him, if he's not available.
Patrick Gruber: Yes, I follow-up and maybe that we have some long lead time items. I think we talked about that once before where we may have to put money down along need equipment for Net-Zero plants that might be -- tie up $20 million or something. But I don't know, we have to ask him. Exactly, and watch the site through that as we get further along. Lynn, you're here.
Lynn Smull: Yes. I'm sorry. I was dropped. So back. What was the question?
Amit Dayal: The question was, what do you -- where do you expect to be with your cash position as you exit 2021?
Lynn Smull: Ballpark?
Amit Dayal: Yes.
Lynn Smull: About $490 million.
Amit Dayal: Okay. Understood.
Patrick Gruber: Okay. Now look -- everybody, everybody for that has a big error bar around. It depends upon if we do long lead equipments and pay for them or not. Don't write that one in stone. Okay? And so it depends upon what we do.
Lynn Smull: Yes. The question, as I understood, it was expectation and expectation to me is based on the development costs that we incur as we develop Net-Zero 1. Yes, it does depend on a lot of things, especially, around long lead equipment deposits to advance the construction schedule. That's -- that's the big uncertainty. But -- so there is an error bar around that. But that's the point estimate.
Patrick Gruber: Yes, there you go.
Amit Dayal: Thank you for that. Just one last one, I guess, the amendment with Scandinavian Airlines back was this related to volume or pricing or something else?
Patrick Gruber: Volume.
Amit Dayal: Okay.
Patrick Gruber: It was volume that came back for more. And I think we'll see more of that in the future and from others.
Amit Dayal: Understood. That's all I have. Thank you so much.
Operator: Thank you. Our next question comes from the line of Shawn Severson with Water Tower Research. Your line is open.
Shawn Severson: Thanks. Hi, Pat, I'm trying to understand when you talk about $10 billion, I mean, when would all these -- the pipeline want to start? I mean, something like – someone say that they want to start taking delivery in 2027 or 2030, or are you talking about basically the fact that you could build plants which may be you can speed up many in parallel to facilitate?
Patrick Gruber: It’s soon. Nobody, now it's in the game of wanting sooner, faster and all the rest. And it is about gasoline, alco-jet and jet fuel, both. And we can't do them fast enough. So we got to go through the cycle random pin things down. And then the Net-Zero 2 plant, I think, is it'll be done in -- in overlapping with Net-Zero 1, is the hypothesis. Net-Zero 3 to be done exactly at the same time potentially. So it depends on when we get the contracts done, it's going to get interesting. And then we got to think about how to do even bigger chunks all at once. Because the -- it's that kind of a pipeline. And so, it's getting to be interesting. People want the stuff fast. So Net-Zero 1 is expected to come online in first part of 2024. I think it'd be interesting to see, could we push it and get the Net-Zero 2 online in 2024 as well and the Net-Zero 3, maybe? This is how we're thinking about it and why we're going to such detailed work to get it right on this engineering is so we can cookie-cut these things to make them work with certainty.
Shawn Severson: Are you seeing any interest or inclination in that pipeline? Will they want you to work with those strategic, or are you basically operating fine on your own. Obviously, signing off, take agreements, you're operating fine on your own. But I was trying to understand if there's a nuance there that they're saying, hey, we want the big partners in this, or just the mentality of these customers.
Patrick Gruber: No. They’re just like -- they get it, is that -- we're interesting and unique as a company, because we do development of our own renewable energy. We've learned how to do it. We are the experts in the fermentation chemistry side of things. We've run these big processes in our past lives. Everybody knows that. So everyone bets us. And they look at it and they go, well, you guys know how to do stuff, we don't know how to do. So -- are people interested in investing? Yes, there'll be times when we can take project investment in or there's -- people who have been approaching this around corporate investments as well. And it's just, we got to figure out the right timing. And so, it's going to get interesting. But as far as execution goes, no, that's easy -- not easy. It's a -- we know how to do that in the engineering firms that we that we work with. And there's lots of them that we're working with, it’s a big group of them. They are pretty good at this stuff, too. And my folk are really good project managers, and leaders. And so, you got to remember that we've been here and done this before in our past lives. And so, this isn't like a new rodeo for us. But, no, people look at us internally and go, god, you guys are self sufficient. The other thing that you got to remember, and everyone should remember, and this is a fundamentally different about us than most other companies. Most of the companies make some kind of a soup as a product that has to get refined. And so, they need a refinery, we don't. We make it deliberately the jet fuel and the octane and that we can change if we want to make more stuff for gasoline, we can do that. And without changing anything in the plant, just change the conditions, walk around and make more jet fuel. We were -- so in that sense, we're like a chemical plant. This is a fundamental difference and it is important when you think about how this marketplace can unfold. We've got a competitive advantage, I believe.
Shawn Severson: I want to go -- another question about the kind of the pipeline, how diverse is that? And are you kind of nuanced that you said there are some large ones in there. But just how diverse is that group? And for modeling purposes, should we assume that most of the plants and the offtake agreements have similar economics?
Patrick Gruber: Yes. The way we think of it as every Net-Zero plant of 45 million gallons generates EBITDA stream of plus $100 million. That's how we think of it internally. And it would have -- I’d have to do the math. You have to do the math to figure out the each -- what cost, the life of the contract, six to seven years. So 6.5 years, $1.5 billion of revenue across the life of the contracts, divided by 45 million gallons is $5. And whatever it is, $0.10 to $0.15 a gallon. So -- 
Shawn Severson: And so, what I mean, there's a big variation in these contracts, I guess, is what I meant. So we when we look at -- we sign up contracts and it's starting to fill up, we should take very similar economics -- use the same economics for all of them.
Patrick Gruber: Yes, we do.
Shawn Severson: Yes, okay. Okay.
Patrick Gruber: Yes. And we found a sweet spot on pricing, where it works for everybody. It works well, keeps the customers incentivized to work with us, because they get some of the green value. It's interesting.
Shawn Severson: Just to clarify the diversity in that pipeline?
Patrick Gruber: Yeah, the diversity of the pipeline, so what do you mean in diversity? Like?
Shawn Severson: Is this 30 or three that are in there? You know, trying to say these smaller?
Patrick Gruber: There's probably other $10 billion. I think it's like I'm going to call it $15 billion to $20 billion.
Shawn Severson: Got it. Okay. That's helpful. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Craig Irwin with ROTH Capital Partners. Your line is open.
Craig Irwin: Good evening, and thanks for taking my questions. So Pat, I understand the enthusiasm your customers out there. Jet fuel is the one fuel that really has the least environmental compliance of all the liquid fields, its high sulphur, high emissions, high particulars and really one of the best opportunities for environmental remediation with Clean Fuels. Can you maybe talk a little bit about what you're seeing as one of the leaders in this industry on the regulatory front? Now, I think many of the customers out there are asking today in anticipation of regulatory action. What do you see as possibilities on the horizon that could bring the rest of the industry along with the thought leaders that have that have already signed up as your customers.
Patrick Gruber: Yeah. So I think what'll happen, there's several things you're exactly right. Jet fuel needs work, they can't get to there -- the industry can't get to the goals without having sustainable aviation fuel available. And there's a couple things that are happening. One is that the industry itself is pushing to go up from the 50% blends to the 100%. And that's going to take a mixture of stuff people like us; we could go make more than all the components as well. But there's lots of guys who can do that. I think mixing and matching is probably the right thing. The key is to drive to low carbon, the lower the carbon; the better. How you count perverts matters, a upturn. And you got to do it in a fair basis. And legit, otherwise, you start doing really weird, you know, people do weird behaviours. So there's a bunch of things like that that are being cooked. And then the important ones are around, there's some bills proposed, like for blenders tax credits, that would give like $1.50 a gallon for jet fuel produced in the States. And that would help the economics. The airline industry itself does not want to pay a premium for these fields. They know they have to buy them, the model that we have for selling fuels allows them to share in the environmental benefits. And so we aren't quite as dependent upon those people which is why we get some of these contracts, and maybe others don't. Remember, we're getting on a ticker pay basis for real ticker pay basis. And that makes us a slightly different than most.
Craig Irwin: Okay. Excellent. So then just, economics or something that's going to be a little bit of a wiggle, as production comes online, and today really everything's based on forecasts, but can you can you maybe talk us through just the basic process that you see, when you talk to regulators, traditionally, for example, carb starts with production today, and looks at what you can achieve versus that baseline. So, if you start off with, I don't know, whatever it is 600 PPM, probably of sulfur in jet fuel, and you can bring that down to 500 PPM by mixing in 20% clean fuels, that move down and the baseline is where the economic value is uncovered. And that's how much bigger move down in SOx submissions and you're going to get in almost any other investment out there environmentally. I mean are these the things that are factoring into this regulatory considerations out there, and some of the some potential economic compliance values that will impact the credit values as we look out onto the horizon, because I assume there will be credits at some point for the compliance value of these fields?
Patrick Gruber: Yeah, that's a really good point. So what Craig is asking about is that there's going to be the NOx and SOx and the particulates are big deals. The sulfur problem is something that is hard to deal with, and it come -- its inherent with a petroleum-based products. You're right, we can eliminate that. And it's a clear cut, we can avoid it, we don't have it. And so that's a good thing. And likewise, with particulates, we can get rid of those. And those are usually these aromatic compounds. You're right, they're valued. What I think is going to happen is we're going to see more regulation upon those things, actually, in fact, even as part of the Clean Air Act, and I know you know this already is that's already there just hasn't been implemented yet, will the new administration start to push that stuff, probably should. They have been delaying it for how many years, a decade already. They should clamp down, that would benefit guys like us, and we normally don't talk about those benefits. Now, that said, one of the ways that we price our product is that we do an index like to jet fuel or gas and some of these, like a premium gasoline, and we get paid a premium on top of that just for its technical properties, which in part are related to its lack of -- particulate lack of sulfur. So in our pricing models, we're starting to see value for that already, which is pretty darn interesting, because it's way early on. So it's our customers problem, they see it, it's coming at them, and they're trying to figure out what to do.
Craig Irwin: Excellent, excellent. And then congratulations on the progress on Net-Zero 1. I know we're really in a capital phase now, and a lot of this is going to be value is going to be -- value is going to be realized as production comes online. What would you say we can look at today for best indicators of the economics of production of that plant when it comes online? It's difficult to compare a tenant scale up, but is there anything else out there and a broader universe built that maybe we can look at and say, this has been done before and we understand it now?
Patrick Gruber: Yeah, you got it. There is. The last time a plant of the scale that was done that was a non-ethanol fermentation. That did a combination of genetically modified yeast and a new fermentation system. And then, had to make it work right to do chemistry was back when we did PLA, plastics at Cargill. So that we genetically engineer to ease the fermentation plant was giant in fact, at the time, it was the world's biggest fermentation plant, the team I have at Gevo were the leaders of that they did it. They were the guys are still with me at Gevo. This helps us. There's like the lessons we learned about what works, what doesn't with the problems with the pitfalls, this is knowledge, you can't get any other place, because you got to know how to do this stuff at large scale and the subtleties that go with it. Well, my group has been never done it before. That gives me enormous comfort. And Chris Ryan, my Chief Operating Officer, he led that. Ron Borchardt, my Head Engineer, he's the guy who built those plants. And so, we have them here. And they've been working with it ever since. And that's been on our mind and the lessons we've learned. And so, it is a in this net-zero plant that we're talking about is on the order of that kind of a plant at that we did back in the day at Cargill. And it'd be a little bit smaller than one of the giant ethanol plants.
Craig Irwin: Excellent. Well, congratulations on the progress. I look forward to tracking things going forward. And I'll hop back in the queue. Thank you.
Lynn Smul: Thanks, Craig.
Operator: Thank you. I'm not showing any further questions. I will now like to turn the call back over to Pat, for closing remarks.
Patrick Gruber: We have made great progress. It's, I wish I could tell you all the details that I know, you get really, really excited. And I just can't. And it'll be fun to unfold them. And it takes patience for me too. I want to see more of these investments, these contracts with customers done I want to see, they're exciting, and more than one net-zero plant. That's a nice problem to have. And it'll also be interesting to see, as that volume stacks up on take-or-pay contracts. It really does end the debate about what will people pay for this? And are they interested really, if you're sitting on the sidelines watching. So it's going to be fun to see the impact on others around us. And what happens. And then, the engineering, we keep plugging along, and we'll get her done. It takes an enormous quantity of work. We're doing something unusual here integrating renewable energy called, renewable energy, Island into our plant, because remember, we got to do the optimization at the wind. We're going to be making hydrogen. We're having a debate about, how much hydrogen chewy, chewy make. And besides, we think that's the very best way to store some energy from the excess wind we'll have. There's a question of should we sell the stuff? Yeah, we got a lot of things to sort out about, how to conduct the integration. Thank God, the technology itself is solid and worked out. So with that, thanks for joining us. Everybody, have a good evening.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.